Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the SKECHERS USA, Inc.'s First Quarter 2012 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to SKECHERS. Please go ahead. 
Unknown Executive: Thank you, everyone, for joining us on SKECHERS' conference call today. I will now read the Safe Harbor statement. Certain statements contained herein, including, without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company, or future results or events, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended.
 Such forward-looking statements involve known and unknown risks, including, but not limited to, global, national and local economic, business and market conditions, in general and specifically, as they apply to the retail industry and the company. There can be no assurance that the actual future results performance or achievements expressed or implied by such forward-looking statements will occur.
 Users of forward-looking statements are encouraged to review the company's filings with the U.S. Securities and Exchange Commission, including the most recent annual report on Form 10-K, quarterly reports on Form 10-Q, current reports on Form 8-K, and all other reports filed with the SEC as required by federal securities laws, for a description of other significant risk factors that may affect the company's business, results of operations and financial conditions.
 With that, I would like to turn the call over to SKECHERS' Chief Operating Officer and Chief Financial Officer, David Weinberg. David? 
David Weinberg: Thank you for joining us today to review SKECHERS' first quarter 2012 results. As always, we will open the call to questions following our prepared comments.
 Net sales for the first quarter were $351.3 million and loss from operations was $4.4 million. Net loss for the first quarter was $3.7 million and diluted loss per share was $0.07.
 Our first quarter 2012 sales decreased by 26.2% over the same period last year. This was due to decrease in sales across all revenue channels, except domestic retail, which increased by 7%, primarily from the addition of 43 new domestic stores from the prior period.
 Our international sales were negatively impacted by challenging economies in several European markets and a shift of our business in Japan from a third-party distributor to a wholly-owned subsidiary and the restructuring of our business in Brazil. We expect both of these countries to begin to positively impact our international sales in the next year.
 It is also important to note that our domestic sales in the first quarter of 2011 benefited from the clearing of excess toning inventory. This resulted in a 40% decrease in pairs sold in the first quarter of this year, but an improvement in average price per pair of 5.8% or $1.15 as more in-line product was delivered. Although our backlogs are down single digits year-over-year, they have continued to improve throughout the quarter.
 In the first quarter, we saw an increase in our domestic retail business by 7%; launched our new performance footwear line in the third-party retailers; established a wholly-owned subsidiary in Japan, which has historically been one of our largest distributors; debuted a new SKECHERS GOrun commercial during the Super Bowl, which was named one of the top 5 spots by several media outlets; increased our gross margin percentage by 390 basis points; decreased our selling expenses by $7.2 million and total expenses by $17.8 million; reduced our inventory by more than $161 million from a year ago; and ended with a strong balance sheet with approximately $391 million in cash or $7.95 per share.
 Also in the quarter, Meb Keflezighi, placed first in the U.S. Olympic marathon trials wearing our GOrun footwear, giving SKECHERS the exciting opportunity to have our footwear worn by an athlete during one of the most anticipated and watched Olympic events this coming summer in London. 
 We feel positive about our fresh product, marketing efforts, wholesale backlog, global distribution channels and the direction of our business in general.
 Our new performance, fitness, lifestyle and kids lines are trending positively. Comp store sales are positive in dollars and double digit in pairs in our concept stores, which are the first to receive our new product; and our reduced selling and G&A expenses are moving more in line with our current sales. We are anticipating a return to profitability in the second half of 2012 and building momentum for 2013 and beyond.
 In our domestic business, first quarter sales decreased 36.8% over the same period last year. This was the result of a combination of a difficult comparison with strong sales a year ago due to the clearing of excess toning inventory during the same period last year and moving away from product not branded SKECHERS. We have received positive feedback on many of our lifestyle footwear lines from men, women and kids, and believe that we will see improvements in our key divisions as this fresh product becomes available throughout the year.
 In the fourth quarter 2011, we delivered our first true performance footwear line to our retail stores. This quarter, we expanded the distribution to our key accounts across the U.S. To support this launch, we developed a creative Super Bowl campaign which starred a dog named Mr. Quiggly and Dallas Mavericks owner, Mark Cuban. The commercial garnered a great deal of press leading up to the Super Bowl and was named one of the top 5 commercials.
 We also received tremendous press when Meb won the Olympic trials in Houston in January, achieving a personal best while running on SKECHERS GOrun and securing a spot on the U.S. Olympic Marathon team. The responses from other experienced runners and the blogging community have been incredible. We continue to see positive reviews from fitness magazines, including Competitor and Women's Running, both of which named GOrun most innovative. This positive support has resulted in strong initial sales for SKECHERS GOrun and GOwalk, our light-weight, responsive walking shoe. And we are excited about the additional lines on the GO platform that will be launched later this year. 
 We are pleased that we have been able to create tremendous awareness for our spring footwear lines through our marketing campaigns while still reducing our selling expenses by 19%, a significant accomplishment. The reception to our product offering, both performance and lifestyle, during our pre-line review in our corporate offices in January, was very positive.
 We are meeting with accounts again this week and the first week of May in our offices to review opportunities for this year and spring 2013. While our business will be down as compared to 2011, we believe there are untapped opportunities in the performance segment with new accounts.
 Our international distributor and subsidiary business decreased by 30% for the quarter due to several factors: very difficult comparison against a record first quarter 2011 for our international business; the transition from toning to new lower-priced products; clearing of excess toning inventory in key countries; delay of deliveries of some fresh product to our distributors; the transition of our business in Japan from one of our largest distributors to a wholly-owned subsidiary; the restructuring of Brazil with new management and a fresh focus on product; challenging economic environments in certain countries. 
 Though our international sales declined, there were several bright spots. The Asia Pacific region continued to perform well, led by South Korea, which is now one of our largest distributors; Australia, New Zealand, one of our oldest distributors; as well as Indonesia and Hong Kong. South America also performed well with solid sales from our Chilean subsidiary and one of our largest distributors, Panama. Other bright spots include Russia, where we launched SKECHERS GOrun in the second largest athletic chain in Europe; the Middle East, where we continued to see growth in spite of unrest; and Japan, where we have received our first orders as a subsidiary. We will deliver these first shipments in the third quarter, and we believe Japan will begin to positively impact our international business in 2013.
 Key to growing our brand worldwide is the opening of SKECHERS branded retail stores. At quarter end, there were 78 SKECHERS stores in our joint venture countries in Asia, including those run by licensees and 214 additional distributor-owned or licensed SKECHERS retail stores around the world. 11 SKECHERS stores opened in the first quarter, 1 each in Saudi Arabia, Mauritius, Mexico, Colombia, Taiwan, Hong Kong and Malaysia; and 4 in South Korea.
 In the first quarter 1 store closed in South Korea and 2 closed in Russia. We believe that there are continued opportunities for long-term growth in many markets given the right product, marketing, distribution, management and stabilization of economies.
 In the near term, we believe that the majority of our subsidiaries and some of our distributors will continue to be up against record numbers from the second quarter of 2011 and several are facing challenging retail environments. We do expect to be trending positive in the back half of the year as Japan begins to deliver its first product as a subsidiary, and we work through the remaining toning inventory and deliver fresh, new products.
 For the quarter, total sales in our company-owned retail business increased by 6%, with our domestic sales improving by 7% due to an increase of 43 stores, and our international retail sales down by 1%. For the quarter, we had negative domestic comp store sales of 3.7% and negative international comp store sales of 10.4%.
 At quarter end, we had 339 company-owned SKECHERS retail stores. In the first quarter, we opened 11 domestic stores. We closed 1 store in the quarter in Massachusetts. In the second quarter, we have opened 3 concept stores, 2 in Maryland and 1 in Delaware and closed 1 in California. We expect to open an additional 10 to 15 stores in 2012.
 Before we move onto our financial review, I would like to mention our licensing division, an additional profit channel for our company. We received $1.1 million in licensing revenue for the first quarter from our many licensing partners, which include eyewear, kids apparel, backpacks, watches, luggage and socks all branded SKECHERS. Leading apparel and accessories manufacturer, Li & Fung, is planning a holiday launch for our new men's and women's SKECHERS performance and sports apparel, which we believe could be a significant revenue opportunity in the coming years.
 Turning to our first quarter 2012 numbers in more detail. First quarter sales were $351.3 million compared to $476.2 million in the first quarter of 2011, a decrease of 26.2%. First quarter gross profit was $155.7 million or 44.3% of sales compared to gross profit of $192.6 million or 40.4% of sales in the first quarter of 2011. The year-over-year increase in gross margin percentage was due to more in-line product and an increase in average price per pair of 5.8% during the quarter.
 First quarter selling expenses decreased by approximately 19.2% to $30.3 million or 8.6% of sales compared to $37.6 million or 7.9% of sales in the prior year. The lower selling expenses, by more than $7.2 million for the quarter, were primarily the result of significantly lower advertising and marketing expenditures.
 For the first quarter, general and administrative expenses decreased by approximately 7.5% to $130.9 million or 37.3% of sales compared to $141.4 million or 29.7% of sales in the prior year. The $10.5 million decrease in G&A was primarily the result of reduced warehouse and distribution costs due to our new distribution facility, which were offset by increased store opening costs from the additional 48 domestic and international company-owned stores, along with $2.4 million of additional depreciation.
 Even with these additional stores and the new Japanese subsidiary, payroll expenses remained flat, indicating we made reductions elsewhere in this area. We continue to focus on reducing our operating expenses. And in the first quarter, total operating expenses decreased more than 9.9% to $161.2 million or 45.9% of sales compared to $179 million or 37.6% of sales in the first quarter of 2011.
 During the first quarter of 2012, we had a loss from operations of $4.4 million compared with earnings from operations of $15.3 million in the first quarter of 2011. Net loss during the quarter was $3.7 million compared to net earnings of $11.8 million last year. Although we had a loss from operations of $4.4 million, we achieved a positive EBITDA of $5.4 million during the quarter. Net loss per diluted share in the first quarter was $0.07 on approximately 49.3 million average shares outstanding compared to net earnings per diluted share of $0.24 on approximately 49.3 million average shares outstanding in the prior year.
 And now turning to our balance sheet, which continues to remain very strong. At March 31, 2012, we had $391.6 million in cash or approximately $7.95 per share. Trade accounts receivable at quarter end were $228.9 million and our DSOs as of March 31, 2012, were 53 days versus 56 days in the prior period.
 Total inventory, including merchandise in transit at March 31, 2012, was $214.6 million, representing a decrease of $11.8 million from year end and over $161 million from a year ago. Long-term debt at March 31, 2012, was $73.9 million compared to $76.5 million at year end. The decrease in long-term debt primarily relates to payments.
 Shareholders' equity was $897.1 million versus $892.5 million at December 31, 2011. Book value or shareholders' equity per share stood at approximately $18.21 as of March 31, 2012.
 Working capital was $578.6 million versus $578.9 million as compared to year end. Capital expenditures for the first quarter were approximately $11.6 million, of which $6.9 million consisted of 11 new store openings and several store remodels.
 Our goal for the balance of 2012 is to return to profitability by delivering fresh product and supporting it with marketing that will drive sales and awareness, and then to expand in key business channels while managing our expenses. We believe we made significant strides towards our goal in the first quarter.
 We expanded the reach of our first performance lines, SKECHERS GOrun, and the accompanying SKECHERS GOwalk, with a launch into more SKECHERS retail stores and third-party retailers in the United States and around the world. The sell-throughs have been strong, and we are now filling additional orders.
 We also achieved our goal of shipping 1 million pairs of Bobs to children in need around the world through our giveaway program.
 Our domestic concept stores, which are the first to get our new product, had positive comps for the quarter. We believe this to be a positive early indicator of the strength of our product offering.
 While we continue to be up against record sales in our international markets, we believe that our growing backlog and the launch of our business in Japan and Brazil, we can anticipate a positive sales trend in the back half of the year.
 With strong sales in our company-owned retail stores, new offerings across all of our product division, targeted marketing supporting our brand, improved gross margin and a continued focus on reducing our operating expenses, we feel we are well positioned for growth and profitability for the second half of 2012 and into 2013.
 And now, I would like to turn the call over to the operator to begin the question-and-answer portion of the conference call. 
Operator: [Operator Instructions] Our first question is from the line of Scott Krasik with BB&T Capital Markets. 
Scott Krasik: So a few questions. Anything strange with the calendar in terms of pulling sales into March, i.e. are the retail comps in your brand stores still running at that positive rate through April? 
David Weinberg: Yes. They still are. I'm sure the positive -- the good weather and the early Easter had some shifts in the calendar, but it was nothing that you would notice. So we continue in April along the same path. 
Scott Krasik: All right. Great. And then thinking about wholesale, maybe give us an indication, either directionally, have your orders for fall improved from a month, 6 years ago or 8 weeks ago? And what type of visibility now do you have for domestic wholesale for Q3? 
David Weinberg: They've improved continually from the end of the year. So our backlogs have been coming closer to closer to even as we go to the back -- as we went through first quarter and seem to be continuing through April as we go. So right now, it's just a timing thing. We're putting them all together. And given the amount of cancellations and things we had last year, we're looking very good for third quarter. But it's still early. And you have to realize that by third quarter, we'll have enough inventory to fill in as the stuff goes, that we haven't had the opportunity to do in the first 2 quarters because we kept our inventory so clean, and didn't really have any excesses and are just ramping up. So right now, we're sitting -- looking pretty good as we head into the back half of the year. 
Scott Krasik: And then you mentioned you have opportunities with new customers in the fitness segment. Just in percent-wise or -- how big of an opportunity is it? How many doors do you expect to sell into with GOrun that maybe you didn't have a year ago because people were getting out of Shape-ups so quickly? 
David Weinberg: It's hard to tell. In the States, they're the smaller units. I mean, the big guys are obviously there. But I think, internationally, we have significant amounts. We're in more sporting goods shops in new places like Brazil and Japan with our new offerings and in Korea and even beginning some in Europe. So I think internationally, it's going to be very, very big for us. 
Scott Krasik: Okay. And then just last in terms of the G&A, is this the run rate, $130 million? I don't think you really got a full quarter benefit from the DC yet. Where should we think about the G&A piece of SG&A going? 
David Weinberg: Right now, you're right. We had 2 months of rent for at least 1 excess distribution center for January and February, and are just starting to get it there. I think it comes down somewhat from here on the G&A side depending on how quickly we gear up internationally. But I think there's still -- it's probably not a double digit. But there's certainly a significant drop as we go to the back half of the year. 
Scott Krasik: You're sort of thinking high single-digit percentage, something like that? 
David Weinberg: Yes, it could be. 
Operator: Our next question is from the line of Jeff Van Sinderen with B. Riley & Company. 
Jeff Van Sinderen: I wonder if you could talk a little bit more about the sell-throughs that you've been experiencing with GOrun and GOwalk in both your own retail stores and then maybe just touch on the channel that, for example, where you did the -- doing the 100 store test with Finish Line with GOrun. And anything you can talk to on that, and if you think Finish Line will go to new doors given the success there? 
David Weinberg: Well, it's very early in the process. So we're still getting -- you have to realize we're just gearing up. So that what we see in our own stores and what I hear anecdotally, at least, from our customers, both domestic and internationally, is that we don't have enough product in the marketplace. We historically are having mid-single-digit sell-throughs on a weekly basis. And we've been selling GOrun and GOwalk so well in our own stores. We haven't been able to move them out into the outlets as quickly as we would have liked to. And we get continual demand, especially in those warm weather places internationally, like the Middle East, like South America, for more product. So it's hard to tell exactly how big it's going to be and we're trying to be careful with it. But it's hard to tell how big it can be because we're at the very early stages, and we haven't come near catching it yet. 
Jeff Van Sinderen: Okay. And so bookings or backlog is still negative for Q3, I think you said, but you can fill in with that once orders and Q2 revenues could potentially be up somewhat versus last year? Have I got that right? 
David Weinberg: Yes, I think it would go up. First of all, backlogs are down and we're only comparing it to last year at March 31. You have to realize we still had significant cancellations last year. So I'm not sure the shippable amount is significantly different. Our international backlogs have started to turn positive going into the back half. And we think our domestic ones are starting to turn positive with our biggest customers, so we think they'll all fill in and there will be a fill-in business as we go back to interim [ph]. We had virtually 0 off-price business in the first quarter and that usually adds to volumes significantly. So we're sitting in pretty good shape, and I think the backlogs are only down from a shippable perspective. I don't think they're down that significantly. 
Jeff Van Sinderen: Okay, good, that's great to hear. And then on your retail comps, I think it was a little bit confusing. I know you've got different segments of the retail business. I think you said part of it was negative and part of it also ran positive. Can you just clarify that for us? 
David Weinberg: Yes, the concept stores -- we have concepts, outlet and box stores, so different varieties. And our outlet stores are the first ones to get our new product, and that's where the GO product went first. And it took us a while to roll it out. But for the quarter, the concept stores, that group of stores that represent the concept. And they, at the end of first quarter, they represented just about 120 of the 290. They comped up single digits in dollars but double digits in units. So we think this new product, both Go and the fitness, the rest of the fitness product, which is selling very well, and our new active and sport and USA lines are all selling well and are a very good early indicator for what's going to happen to the rest of our stores and to our third-party, our wholesale business, as we go into the back half of the year. 
Operator: The next question is from the line of Faye Landes with Consumer Edge Research. 
Faye Landes: I was hoping you could clarify a couple of things. First of all, the gross margin came in at extremely high levels. That's great. But it's much higher than what you've guided to when you reported Q4, which was very -- was in late February. So I'm wondering if you could explain what the swing factor was because it was only a few weeks remaining for the quarter at that point. 
David Weinberg: The swing factor was predominantly in domestic wholesale as some of this newer product came in. We had no closeouts and the new products checked very well and create a slightly higher margin on the domestic end. And I think the flip side was that international had trouble getting delivered some of this new product for production pieces, and they were a little lower than we had anticipated. So what we did was we had a slightly higher sales and margins domestically, and it became a higher percentage of the whole, and we're a little light on international, predominantly to distributors, which shipped somewhat late, which is our lower margin. So when you weigh them out, we ended up with a higher gross margin. But I think we'll come back to the norm as we go forward. 
Faye Landes: Okay. And then just in terms of mix, 2 other related -- sort of related questions. In terms of mix in general, about what percentage of your sales is in various types retail -- of company-owned retail versus a year ago? 
David Weinberg: Percentage of the whole? 
Faye Landes: Yes. 
David Weinberg: Retail domestically went from just over 16% to just over 23% of the total, year-on-year. 
Faye Landes: That also contributes to gross margin. 
David Weinberg: Correct. 
Faye Landes: Okay. Also I'm trying to figure out how we should think about inventories because they're still up very dramatic. They're up very dramatically on a 2-year basis, up 50% -- 6% on a 2-year basis, while sales are still down a lot, I mean, obviously, getting better going forward. So how should we think about that relationship? 
David Weinberg: Well, what I would tell you right now we all believe we're probably under inventory because there's no closeout. And I think you have 2 problems in the comparison going back year-on-year. Last year was obviously very difficult. We had a backup in the inventory, and it was grossly overstated because of the cancellations and the toning. If you go back 2 years, you're right in the middle of the toning cycle where we couldn't make enough. We only had 30 or 60 days inventory if you counted what was in transit. So that obviously is not a place we intend on being as well. So you've got to go back further as a percentage of sales. But also understand we're operating over -- on a 2-year period, 75 more retail outlets, which is going to create more inventory. We're going to our own inventory in Japan and Brazil and Chile that was just beginning -- Japan didn't even exist a few years ago, so that needs an expansive inventory. But I think 2010 and 2011 are difficult comparison years because one was super exaggerated to the upside and one was super exaggerated to the downside. 
Faye Landes: Okay. And then finally, throwing everything into the mix or the blender, whatever, what kind of annual run rate in sales do you think you need to be profitable? 
David Weinberg: Well, we can still do a lot of work. I'd like to believe we can be profitable at $1.5 billion and north. I think we'll do better than that certainly as we get into 2013. But if you think about it, we lost $4.4 million on operations this year. And if you take into account there was a big swing. We did about $5 million less in Japan than last year because we just filled in a little bit. That margin, forget about on a subsidiary basis, but even on a distributor basis, would have been probably about 30 [ph], that's $1.5 million. We spent an extra $1 million, it's $2.5 million. We -- as of November 1, the last big stock plan we did, we're amortizing at a $1 million a quarter. So that $3 million a quarter goes away. So if you just take Japan, that $3 million a quarter and keep the status quo, we're very close to being profitable at the $350 million, albeit that's a slower -- shorter advertising quarter. So we're not that far given the pieces, that we'll fine-tune as we go forward. 
Operator: The next question is from the line of Sam Poser with Sterne Agee. 
Ben Shamsian: It's Ben Shamsian for Sam. Same-store sales, can you just give us the overall same-store sales number or anything... 
David Weinberg: Yes, I think we said it was down 3%, just over 3%, 3% and change for the quarter. 
Ben Shamsian: Okay, got it. And then what kind of rate do you want to -- or can we expect for a full year for both G&A and selling expenses? 
David Weinberg: What kind of rate? Dollar rate? Percentage rate? 
Ben Shamsian: Percentage rate. 
David Weinberg: It's hard to tell, because we don't give guidance. I'd have to give you the top line number before I give you a percentage number. I think Scott asked it fairly well, we think our G&A piece will come down in real dollar terms somewhat from first quarter. 
Ben Shamsian: Okay. And then on the selling side, how can we think about that? 
David Weinberg: Well, we haven't decided. Selling is the biggest piece of advertising. It's completely controllable. I think right now we're planning that advertising in real dollars will be down somewhere in the $7 million or $8 million range for Q2. 
Operator: [Operator Instructions] The next question is from the line of Chris Svezia with Susquehanna Financial Group. 
Christopher Svezia: So I guess, first, just on gross margin for a second. So given you didn't have a lot of closeout product, more than likely you're not going to be able to sustain that level of gross margin throughout the year. Is that fair to kind of gravitate back to that 43%, 42% level? Is that fair? 
David Weinberg: I think so. That would be my guess right now. I mean, we still increase the gross margin dollars, but obviously, if we have some closeout inventory, it will get a lower margin. 
Christopher Svezia: And that more than likely will start in Q3 as opposed to really Q2 because you probably still don't have enough inventory just yet for Q2. Is that a fair assessment? 
David Weinberg: I think that's fair. 
Christopher Svezia: What kind of revenue run rate do you need to be profitable? I like these words. More specific, Q2. So I'm just curious, I mean the way you're phrasing this, it seems like really back half you're profitable, maybe Q2, you lose a little bit of money. Is that a fair assessment or fair thought process? 
David Weinberg: Yes, I think that's fair. Obviously, we think given some of the changes, we make money somewhere north of this $350 million, staying at $370 million range. But if you take even $7 million or $8 million off our advertising budget from last year, you probably have an increase of $6 million or $7 million. So you have to make that up. So you probably have to get to $370 million, $380 million, with margins on the higher end, in the 43-plus range to get close -- to breakeven, make some money. It certainly is possible. But right now I wouldn't think that, that would be the most logical choice. 
Christopher Svezia: If you looked at fourth quarter for a second and if you assumed that you can do that type of revenue, which would be, I guess, really aggressive. But I mean, do you envision a scenario being profitable in fourth quarter based on what you're seeing on backlogs, international, margins, et cetera? 
David Weinberg: Yes, I think it's very possible that we're profitable in Q4. Usually when we hit this product and we hit it right, and it starts to build both internationally, which is bigger for us in the fourth quarter for the distributors and our own stores and we fill in for holiday and filling in the warm weather stores, we have historically, and good opportunities to be profitable in the fourth quarter. 
Christopher Svezia: I'm curious. On your GO platform, how big is that program? How big are you thinking that could be? Is that a 1 million pair, 2 million pair program, just ballpark for this year? 
David Weinberg: I don't know that it could be quite that big -- it depends on how quickly it gears up. I think 1 million pairs shipped out the door would be on the high side, but certainly possible. 
Christopher Svezia: Okay. So it's somewhere in that $30 million, $40 million wholesale revenue, is that fair? 
David Weinberg: Yes, or more. I mean, it's hard to tell as we're going into such a hot period of time for us, but it's possible. 
Christopher Svezia: And then lastly, just, a lot of people talk about the GO product, but you also mentioned active, USA. Just kind of give us a sense of what's going on in those categories, where maybe those businesses are working? And then just lastly, just on the kids business between, I guess, boys and girls, just kind of what's going on there after you've anniversary-ed Twinkle Toes, Luminators, things of that nature? How you think about that as well? 
David Weinberg: Yes, well, obviously, in the adults, we've done very well. As we sit here today, our women's active, our women's sport and our men's sport are starting to -- backlogs are comping last year and starting to increase from last year. Men's USA is growing. It has a little more competition from private label. But that's getting very close to being even as well. So we think those, and I said, they're performing very well in our stores. So we think those 3 are doing very well. We have anniversary-ed some of the kids and kids is starting to growing out too. We took a little falloff as we started to anniversary Twinkle Toes, but now our backlogs are growing as well. So we're all here very positive about all the pieces of the brand for the most part. We know we're going to have some problems with boots and our boot package and our women's USA as we get into the back half of the year because of the terrible [ph] boot season and everyone holding them. But it's never been an outrageously strong or big piece for us. So we think as we start getting to the back half of the year, all our divisions that are working now will continue. I mean Bobs is going tremendously well. So all those new pieces are starting to kick in, and they're growing as we get to the back half of the year. You also have to understand that when we report backlog, we don't book any orders we can't deliver. The backlogs are constrained as we get into the back half of the year as we sit, based on production schedule. As we're increasing our production, we can increase our backlog. We've had demand for some GO product and some new active product for Q2 that we just haven't been able to deliver. And so people are rethinking about Q3 and their timing and flows. But we could have had significantly higher backlog had we been able to produce that quickly or, in these tough times, had the foresight to make extra shoes. So we think it's all growing and it's growing in tandem and we all feel positive about all the pieces. 
Operator: Thank you. There are no further questions at this time. Ladies and gentlemen, this does conclude the question-and-answer session. 
Unknown Executive: Thank you again for joining us today on the call. We would just like to note that today's call may have contained forward-looking statements. As a result of various risk factors, actual results could differ materially from those projected in such statements. These risk factors are detailed in SKECHERS filings with the SEC. Again, thank you, and have a great day.